Operator: Good day, and thank you for standing by. Welcome to the Fingerprint Cards Q2 Results 2025 Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Stefan Pettersson, Head of Investor Relations. Please go ahead.
Stefan Pettersson: Thank you, Sandra, and good morning, everyone, and welcome to FPC's earnings call following the release of our Q2 report this morning. So we'll start by a presentation of the report by our CEO, Adam Philpott; and then by our CFO, Fredrik Hedlund. And if you're following the call on the web, you can post questions throughout the call. And with that, let me now hand over to our CEO, Adam Philpott.
Adam Philpott: Thank you, Stefan, and good morning, everybody. Thanks for joining us for our Q2 earnings presentation. Just by way of agenda, I'll be walking us through an executive summary of the results. We will also then talk about the new Board members that we announced recently at the AGM. We'll talk about the transformation plan. We've been very clear on every single earnings call for the last 8 quarters as to the transformation plan that we have in place for this company. And what we'll show today is continued progress and successful execution of that transformation plan. And as we think about that, we are in the accelerating growth phase of that transformation plan. We'll talk about the things that are helping us build that growth as well. Finally, I'll hand to Fredrik Hedlund. Fredrik will talk about the Q2 financials in a little more detail before we go to some Q&A. So let's move on to the executive summary. So first of all, core growth is one of those pillars of our transformation plan. And I'm really pleased to see strong growth again this quarter in our core revenue. So our ongoing operations increased by 40% year-on-year, really strong growth, particularly as you compare that to the market growth of around 20%, really good execution from the team. And if you look at the first half, 66% growth for the first half entirely. So really good performance in our core business, very pleased to see that and appreciate all the efforts from the whole team, from our partners and of course, the faith that our customers put in us as well. But at the same time, it's not just good growth. It's also good growth. We've continued strong margins, 48.1% for the quarter, 53% on average for the first half. We talked about stability being the first phase of the transformation plan. And this shows that we've really improved gross margins compared to where they were a couple of years ago. So great performance again from the team to maintain a very strong gross margin, slight delta between last quarter, simply just because of some of the mix. It's a relatively small revenue base and the mix has skewed that slightly, but really, really strong margin nonetheless. The other piece, a key piece, I think, of the transformation plan is around asset monetization. We have some great assets as a company. We have a great brand in our markets as a company. So we were really pleased just after quarter end to announce another deal monetizing our PC assets, meaningful cash onto the balance sheet as well, really important for us to continue to fund the business and be able to fund our future investments as well and drive future growth. So great upfront cash in that deal as well, really pleased for us to be able to announce that recently. Also, we focus on the new growth as well. We've invested in a joint partnership with Anonybit on our Identity Cloud. We launched the initial product a few months ago during Q2. So really pleased to get that initial product out to market. We've got more products coming and we're now really starting to invest behind that so that we can start to see new opportunity and in turn, new revenue coming out of that partnership. I'll talk a little bit more about that later. And then the final pillar is around business modernization. Of course, we continue to be focused on managing our operational efficiency. In this case, you can see continued execution on managing OpEx, particularly headcount, a big part of our overall OpEx. You can see the change year-on-year in terms of headcount. And that's something we'll continue to do is make sure that we keep a firm eye on OpEx, but at the same time, get the right balance between having the right OpEx for our business, but also investing in growth. Growth doesn't come for free. It's something we need to invest in and then thinking about how we manage those investments. And again, I'll touch on that in a little more detail shortly. But of course, this is all about building towards a positive EBITDA and free cash flow. We feel good about the track that we're on. We feel good about the progress we're making towards that double digit profitable growth is helping us. And in addition, monetizing those assets then brings additional cash in to make sure we've got a well-funded business. So really pleased about the way we're executing the transformation program. We've been very open and transparent about what it is and we like to hold ourselves to account to demonstrate we're executing extremely well against that plan. If we go to the next slide, we've also got a new Board that's going to help us continue to drive this transformation and grow the business. John Lord has joined us. John's got incredible experience in identity specifically and with biometrics too. He's a successful founder, been able to monetize and sell his company TruNarrative to LexisNexis in 2021. He's got incredible experience in driving growth, both organically and through acquisition as well. So great to have John on the Board. We also have Carl Johan based in Sweden, in Stockholm, great track record in building and scaling Nordic and European tech ventures, too. So Carl Johan is also a Board member in other high-growth tech companies, specialist in go-to-market and a specialist in creating operational scale. And we actually streamlined the Board by having John and Carl Johan with us. Now we're down to 4 Board members, including myself, John and Carl Johan and of course, Christian as the Chairman. So a smaller Board, agile, focused, really reflecting where we now need to go as a company. If we go to the next slide, I want to keep the transformation plan top of mind for all of you as investors. This is something that we've been talking about, as I said, for the last couple of years. It's an important transformation for us as a company. But what's also important is that we're very clear on how we're executing against this plan too. And you can see of this second phase of the transformation, there are 4 pillars. I've talked about those in the executive summary. One thing I will say is we feel really good about the stability we've now created in this company, good stable growth, good stable margins. We're bringing cash into the balance sheet, not only through ongoing operations, but also through asset monetization. We feel like we've got a really nice stable venture here that we can build upon as we move to the accelerate growth phase of this transformation plan. And proof points around these 4 pillars for asset monetization, I mentioned the Egis deal, a really important deal for us, not just in terms of bringing cash onto the balance sheet, but also in terms of an ongoing partnership there, too, with ongoing income through royalty, which I'll touch on in just a moment. The core business continues to perform as well. So great year-on-year growth, both for the quarter and for the first half as well. So really pleased to see that we're getting good growth out of that core business as we continue to focus on those higher-value, higher- margin segments as well. In the new business, it's much newer venture for us, some joint partnerships that we have in place starting to manifest in joint product. We launched that first product and now we're doubling down on how we drive go-to-market around that new business to start to put revenue and opportunities on the table. And then finally, in terms of business modernization, a whole lot of things that we're doing there to ensure that as we grow the business, we're not growing our OpEx base at the same level. We're maintaining a good OpEx level, but getting growth of it through productivity using tools like AI as a modern business, but still managing headcount, still managing OpEx in a really smart way so that we run a good financial operation. And I'll just spend a bit more time on each of these things. I've talked about the asset monetization deal for Egis, really important deal for us. But there are other things that we're doing in asset monetization too. There are other licensing opportunities that we're pursuing. And of course, there are the patent partnerships. They take a bit of time to manifest, but we're heavily engaged in our patent partnerships, looking at where there's opportunity to monetize our IP through that process also. As we look at core revenue growth, I mentioned 40% year-on-year growth in core revenue, really pleased to see that. But there are other things that we're doing to drive core revenue growth as well. If you can go to the next slide for me, please, Stefan. We're working in our marketing engine. So completely revitalizing our website, which is no longer reflective of who we are and where we're going, changing the website. But not only is our storefront, using that is a much better way to capture leads. Incoming leads are an extremely important part of a company like ourselves to look at making sure we're taking those leads on, distributing them and effectively acting upon them as well. So a lot of change in terms of our marketing engine to drive top of funnel by turning marketing into a leads engine. And of course, the other thing that we've spoken about is moving up the value stack. We used to be a sensor company just selling sensors. We've moved up the value stack to be a systems company, including MCU, software and other components. And we can really see in our pipeline how well we're moving up that value chain, driving an improvement in gross margin and getting a greater wallet share with our customers at the same time, whilst also helping those customers reduce the number of components they need because we have a greater set of componentry in our systems offers. So pleased to see progress on all of those items for core revenue. On new revenue streams, again, I mentioned first product was launched. We've got more products to come in terms of our Identity Cloud, but also we've started to increase capacity in the identity space too, a new rep on board in the United States, a new business development person on board in the United States as well, just to focus on those new revenue streams on that software in the identity space as well. So really pleased to now start to put some wood behind the arrow as it relates to new revenue streams. And then finally, on business modernization, I mentioned what this is about is ensuring that we're operating as a modern business using modern tools, not just throwing headcount at every problem, which creates obviously OpEx increase. So looking to manage our OpEx in a really smart way. We are making smart bets as well though. We are investing in growth such as additional capacity for identity. But at the same time, we're being smart about how we modernize, for example, our revenue operations using best practice tools, including AI to be smart around how we maximize our sales capacity, how we minimize the amount of people we need to get things done, how we offload administrative tasks and automate them, et cetera. And the same is true across the business, augmenting our team with AI-driven support. So a lot going on in that space, but at the same time, continuing to manage the overall OpEx. And then the final thing I'll talk about before I hand to Fredrik to do a slightly deeper dive into the numbers is, of course, the Egis deal. We announced this, I think, last week, so just after quarter end, really important deal for us. We're monetizing unused assets. We exited the PC market. Those assets are still of value and still in demand. And so great that we've been able to monetize those assets in line with our strategy. It also strengthens our balance sheet. It brings cash on to the balance sheet and gives us improved capital flexibility around how we run ongoing operations, but also how we invest for future growth as well. So extremely important deal as part of that overall strategy. The majority of the cash will come in, in Q3, and there will be some in Q4 because it's much more than just a one-off transaction. There's some joint work we're doing on [ ASIC ] design, but there's also royalty associated with it. So there's this additional revenue stream that comes as a result of that deal as well as that upfront that we've spoken about. So a good strategic deal for us, great strategic partnership and good for the overall strategy. With that, Fredrik, let me hand to you and maybe you can talk a little bit more about some of the numbers in Q2.
Fredrik Hedlund: Thank you, Adam. So let's look at the key figures for the second quarter. First, on revenue. In the second quarter, we grew 40% year- over-year and we had a gross margin of 48.1%. And if you look at the first half, so first quarter plus the second quarter, we grew at 66% year-over-year with a gross margin of 53% and we feel really good about those 2 numbers. And from an EBITDA perspective, it was down SEK 20.3 million, free cash flow down SEK 18.4 million and we had SEK 32.7 million of cash. And we feel really good about this cash balance. And as Adam and I have reflected on the plan that we set at the beginning of the year and all the thoughts that went into the rights issue in February, we are slightly ahead of where we expect it to be from a cash perspective and we feel really good about the revenue growth and the margins. So all of that is in line with where we expect it to be. And also from a headcount perspective, it continues to trend down 49% at the end of the second quarter, down 59% year-over-year. And remember that headcount is roughly 2/3 of our OpEx. It's one of the KPIs that we look at very, very carefully on a weekly basis. And finally, we feel -- now we feel good about our cash position, not only the SEK 32.7 million, which is slightly ahead of where we expected to be, but Adam just talked about Egis, the SEK 24 million asset monetization. So when you combine the 2, we are able to invest behind growth and continue to support that 66% in the first half and ensuring that we continue to deliver a gross margin for the year above 50%. And if you recall from our last call, I think we said that we really try to price our deals closer to 60% gross margin and that's what we feel that we belong at closer to 60% based on our new products and based on moving up the value chain. So that's something we continue to push on continuously. And this investment is absolutely key because growing at, call it, 3x the market for the first half, it just requires investment, especially commercial resourcing investment. And we feel good about our runway towards our positive EBITDA and cash flow and we will continue to execute for the rest of the year. Back to you, Adam.
Adam Philpott: Thank you very much, Fredrik. So just to conclude before we go to Q&A, let's go through a quick summary. So as we look at the fundamentals, right, look at the execution against the strategic turnaround, we've got really strong year-on-year growth ahead of the market. So very positive to see, as Fredrik just said, growing at 2x the market in Q2, growing at 3x the market for the first half, really positive to see. We've completely changed the gross margin profile. If you remember back during the PC and mobile days, very, very low gross margin, much, much stronger gross margin now, very stable as well. So very pleased about how we've been able to change the GM profile for the company. And at the same time, continuing, we don't just -- we've done a lot of work over the last 18 to 24 months in making sure we have the right cost base. We don't just take our foot off the gas, mission accomplished. We continue to focus on that to make sure that we're not seeing creep in terms of our OpEx and loosening the purse strings unnecessarily. So really keeping a tight rein on all of that, but making sure we help the team be productive using AI tools and other tools to drive productivity. We've also achieved some really strong milestones. So the Egis deal, second deal with Egis. First was on mobile, of course, second is on PC. Really pleased to see that deal come to fruition and our partnership with them continue to grow. We strengthened the Board as well. So a really strategic part of what we need to do as an organization is to have a very strong Board that helps us go -- it helps us take us where we need to go with some of the skills they have in scaling business in M&A and of course, in operational excellence as well. And also thinking about future revenue streams as we solve the problems that need to be solved around passwords, around identity at scale, clearly, cloud and software is an important part of where we need to go. And so we've launched our initial product and now we're investing behind that to ensure we have focused go-to-market to help grow pipeline and drive revenue growth in that segment, of course, as well. So as we think about where we're going, continuing to execute the transformation plan in this second year, moving to this accelerating growth phase, but also, of course, focused on getting the business to positive EBITDA and positive free cash flow through some of the disciplines and the transformation plan that I've mentioned. And then expanding the company, leveraging what we're very, very strong at in terms of high efficacy, high-quality biometrics, moving that at scale so that anybody can benefit from biometrics as a means of identification versus using legacy things like passwords or other complex tools, which have tried to replace passwords but have not been able to. So really important future direction for where we're going in the company and something in which we have a key role and a key right to play in as well. So with that, I'm going to pause there. Stefan, let me hand back to you, and perhaps we can take some questions.
Stefan Pettersson: Yes. Let's begin by taking some questions from the phone line.
Operator: [Operator Instructions] We will now take the first question from the line of Markus Almerud from DNB Carnegie.
Markus A. Almerud: Markus here from DNB Carnegie. Number of questions. Maybe starting with sales. Very good sales growth, of course. It's a little bit slower than the first quarter. So just to understand what kind of -- how is sales? Is it big tickets? Is it small tickets but many? Should we expect this to be lumpy? If you can just talk a little bit about what's in sales.
Adam Philpott: Yes. Good question, Markus, and thanks for kicking us off. So I would say, I mean, I've been in sales for, gosh, a very long time, about 30 years. And so I'm used to seeing different profiles of businesses. In an ideal profile, you have some big deals, but then lots of smaller deals to fill out the trough between the peaks. We have both. We do have larger deals and we do have lots of run rate business as well. But because we're a relatively small business, you do see some fluctuations. Some -- I wouldn't call it lumpiness. It's a little bit peanut butter sometimes, but it's not wild swings that you would see in a company that's very dependent on very few large deals. So we do see some ebbs and flows in terms of the overall linearity across the quarters, but I don't think it's a substantial swing as perhaps we may have seen in the past. So yes, the difference between Q1 and Q2 is really just some of those lumpy deals making a slight difference.
Markus A. Almerud: And if I look at the market, so you're talking about 20% market growth. Is it the same with the market that the market is kind of -- I mean, the market is growing steadily? Or is it -- what's the profile of the market?
Adam Philpott: There are many segments. I mean, if you break it down, there's a number of different segments. And of course, when you speak to different analysts, there's a number of different perspectives on what each of those segments is growing at. In the software space, typically more predictable because those are based on ARR cycles. So that tends to be more predictable. Hardware can be a little more lumpy because it's typically project-driven. And with hardware, you need to order ahead in order to bake the product into your product. So of course, that tends to come with batch style orders as opposed to just on-demand licensing. So it varies by segment in this space, but I think hardware tends to be slightly lumpier than software.
Markus A. Almerud: And then on that software/hardware difference, the gross margin is -- it's around 50%, let's call it 50%, which is, of course, significantly higher than where you have been in the past. But what -- given the limited history here, what is kind of -- and there's so much going on behind the scenes. What is kind of -- what level should you be at? What is kind of sustainable gross margin?
Adam Philpott: Yes, Fredrik, I'll bring you in on that one.
Fredrik Hedlund: Yes. I think the first half, Markus, is a good -- so that kind of just above 50% is a good kind of baseline. And as our mix improves towards us capturing a larger part of the value chain, like, for example, with AllKey, which we announced a couple of quarters ago, which is an excellent product that's very, very competitive from a margin perspective. So that 50%, I think, is a baseline. And then we are doing everything we can to get closer to 60%. And on individual deals, we will be able to get closer to 50%. But remember, revenue baseline is fairly low. So the key here is to get the gross profit to grow as quickly as possible. The gross profit has to be bigger than our OpEx for us to reach EBITDA positive and eventually then free cash flow positive. So it's a bit of a tradeoff that we do today. So if there's a larger deal priced at slightly below 50%, clearly, we're going to have a discussion with the team, do we go with it or not. So that -- but we like to grow our gross profit fast. So that's why you're going to see some deals that some larger deals is below 50%. But on average, I would expect us to continue to be able to operate at the first half of the gross margins. And another -- I think, Markus, another way to look at it, you can look at other companies in this kind of space and see where they are and I think they're quite similar to where we are. So it feels like it's sustainable.
Markus A. Almerud: And then I would assume that the -- I mean, this is mainly -- still mainly a hardware business --
Fredrik Hedlund: Yes.
Markus A. Almerud: -- but I assume that you will grow the software part and the software is obviously higher margins as well?
Fredrik Hedlund: Exactly, exactly. It's kind of 100% hardware today, pushing very hard to get into the software space. We have a path. And again, there are companies out there in our space that's doing 100% software and there you can see where the gross margins are and they tend to be closer to 80%. So obviously, our goal is to get to the right mix between more of a 50% to 60% hardware business and an 80%-plus software business.
Markus A. Almerud: Yes. And then the next question is on the license deal that you made with Egis in the quarter, the SEK 24 million. Just looking at, first of all, how much of these kind of assets do you have on the balance sheet that you would be able to find these kind of deals with? Maybe I'll start there.
Adam Philpott: Yes. So Fredrik, maybe you can talk about the balance sheet aspect of that. But here's what I would say is we've got a deep well of intellectual property. Now that doesn't mean that we're going to be writing these types of deal every quarter. I mean, you can see we've done a few of these. We did a deal with our friends at Smart Eye earlier in the year. Obviously, we did a deal with Egis last year as well. So we see some good opportunity to continue to do these deals. I think a bit like I talked about the profile earlier of large deals and small deals, these things don't come along every quarter. Plus we also need to be smart about how we monetize them. What we're not looking to do is monetize things that are core to us that could potentially create another competitor or give away assets that we need to use as we look to continue to serve our clients. So I think it requires a balanced approach. But perhaps, Fredrik, you can talk a little more on the balance sheet if there's anything you want to add.
Fredrik Hedlund: Yes. Yes, exactly. I think -- I agree with that. It's a balanced approach. Obviously, we'd love to get cash into the company from unutilized assets, right? That's the right thing -- right way to fund the business. And obviously, it extends the runway we have as we continue to drive towards having a positive free cash flow, but it also enable us to invest behind growth. And these are incoming calls. So it's not like we're out there a lot knocking on company store, but we get incoming calls because we have great IP. The legacy Fingerprint, they have great IP. We have lots of patents. We are very fortunate to have that and to own those, but it needs to be the right price as well. So it's a willing buyer and a willing seller. And we have said no to deals because we felt price wasn't right. So we -- when the price is right, when we feel like we can utilize that cash in a really smart way, we're going to do these deals. Are we able to do more deals? Yes, we are. Do we have more IP we are not using? Yes, we have. We just have to see when the price is right for those assets and when the demand is there.
Adam Philpott: One other thing I would add, Markus, to what Fredrik said as well is let's also not forget that where it's in segments that we're no longer active, it not only brings cash upfront, but there are also royalties on an ongoing basis in this deal in particular. So it creates a revenue stream from something that we previously exited. Now speaking of it, there's risk around that revenue stream, how big it is, et cetera, but it creates a size bet of opportunity as well.
Markus A. Almerud: But you used the word deep well when you talk about it. So I assume there's definitely more to be done on it?
Adam Philpott: There's more there, definitely. But like I said, I want to be slightly guarded about that in terms of expectations. We're not going to be writing these deals every month, every quarter, but there's certainly assets there that we can monetize, not only through these asset monetization deals as per Egis and other ones, but also, as I mentioned in the presentation, through our patent portfolio, of course, too. So a number of different vectors there. The patent one in particular takes quite a lot of time because there's a lot of legal aspects associated with it, but those are some of the options. And again, for me, it's about creating optionality, having -- if we have a number of different things that can yield income, those don't have too many that we can't focus on, but equally, we don't go the other way and have too few so there's risk, we create a balanced opportunity for income.
Markus A. Almerud: And then finally, maybe on your new Board, you talked a little bit about it. And looking at the profiles, I mean, it's a much smaller Board. And looking at the profile of the Board right now and looking at the profile of your new Board members is, call it, company builders. I mean, they built a lot of companies and a lot of tech ventures. What do you think this will mean for -- I mean, looking a couple of years ahead for your continuous growth?
Adam Philpott: Yes. Yes. I mean, I've got to say, I think it's super exciting. I've had people talk to me about how for a small company, we've been able to build not only a world-class executive team, but also how we've got a world-class Board as well. I mean we are really punching above our weight here, really strong set of individuals. And that's what people are investing in, in this company at the moment. I meet a number of shareholders and that's what people are investing in, the confidence of the plan that we put together and the capability of the people who have come in to create that plan and execute that plan as well. So it's really exciting to have these new Board members in, really credible, really successful and experienced individuals that can help take us to another level. And for me, in terms of where that takes us in the future, I think it's really exciting. I think there's lots of exciting things that we can do organically. I think there's lots of exciting things that we can do inorganically as well. And these guys have the experience to help us navigate that. So I couldn't be more excited about the new Board. Really pleased. Stefan, maybe let's come back to you to see if there's other questions that have come in.
Stefan Pettersson: Yes. Let's take a couple of questions from the web. First one, biometric cards. Can you please comment on any progress in that area and also on the most important growth areas for FPC going forward?
Adam Philpott: Yes, absolutely. I think -- I forget which call it was, I believe it was in our Q4 earnings call for 2024 that we talked about a pivot because what we were seeing is that there was this single bet on payment cards and it was too slow. It doesn't mean that it wasn't going to happen, but it was just too slow. And so again, as I talk about having balanced bets, we needed to open the aperture to have more opportunity than just a single bet there. On biometric payment card, what I would say is that market is renowned for being very conservative and very slow. Why? Because it's a high-scale market and it's about money, people's money. And so there's a level of -- a high level of conservatism there, which creates quite a slow pace in there. We do still see an opportunity as it relates to payment card. But as per the comment I made, as I said, I believe, in Q4 reports, we pivoted to a multifunction card because there are many things that a card can do. There are many things that biometrics on that card could enable and unlock around identity, such as proof of age or for access or for crypto, et cetera, et cetera, lots of different features that we can offer on a multifunction card that doesn't just need to be payment. And so we do see opportunity across that suite. And what we may see is certain elements of that take off quicker than others. One thing I think is very interesting at the moment is I kind of zoom out of the financial market and look at what's going on is around fintech, right, or crypto, as some people may call it. You look at the GENIUS Act that's been passed in the United States, look at what's going on with stablecoin as a way to kind of tether, if you like, a crypto to traditional capital, it's very interesting to see how that market is being disruptive in the way financial transactions are delivered. So we are already starting to see quite a lot of demand on the crypto side because if you're carrying around a card, which is linked to your crypto that you want to make transactions or if you're carrying around a crypto wallet, identity is really important because you've got a lot of assets on those things that need an additional level of security. So we're in conversations with a number of organizations around that. And so as we think about payments, fintech is a really interesting area that we're involved in at the moment as an organization. We have been for a year or 2, but really starting to see some interesting things happen there with some balanced bets that we've placed with some of our customers in that space. So I think that's very interesting. I think also the multifunction card is very interesting. It's growth opportunities for the future. But in their own right, these are all bets that we need to place because we're not sure which ones are going to take off yet. And so really making sure that we are thoughtful about where we invest our capital. Like I said earlier, we don't have too many bets, but equally, we don't have too few. It's kind of goldilocks. We want to make it just right.
Stefan Pettersson: And a question on headcount. Would you say that FPC is now at a stable headcount level? Or how should we look at this?
Adam Philpott: Yes, it's a good question. I mean, I would say that we've had a very, very rigorous focus on OpEx. But at the same time, we are balanced because we want to make sure that we keep one eye on OpEx, but the other eye on growth. And so it's about the levers that we pull. We could lock down OpEx further and further and further, but the more we do that, it comes at the expense of growth. And so for us, again, I've used the word balance a lot today. I didn't mean to do that coming in, but it seems to have come up a lot. We need to be really balanced about how hard we pull the OpEx lever, but also how we think about investing as well. And so as we think about this runway to EBITDA and free cash flow positive, part of what we're thinking about there is how we gear the business for growth as well because it would be very easy to start to deliver some of those things by just cranking the OpEx handle, but it would not be good for long-term or medium-term shareholder growth. And so that's kind of the balance that we make. So yes, things are very stable, as I've said. I feel like we've stabilized the business very well. But now, of course, it's a case of using that platform to pivot off to drive growth.
Stefan Pettersson: All right. Thank you, Adam, and thank you, everyone, for your questions. And let me hand back to you, Adam, for any closing remarks that you may have.
Adam Philpott: Very good. Thank you, Stefan. So I want to thank all of the shareholders on the call and for those not on the call for coming on this journey with us. I hope you can see the work that we're doing to really execute the transformation plan that was necessary for this company and create a platform for growth moving forward. The year-on-year revenue is very strong. Margins are very nice as well. Plus, of course, then we're augmenting the cash on the balance sheet by doing some of the asset monetization deals that you've seen us do relatively consistently over the last 18 months to 2 years as well. So we're going to continue to execute, going to continue to shift the company into an accelerated growth phase, and we appreciate everything you do to support us on that journey. So thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.